Operator: Good day. And welcome to RedHill Biopharma’s First Quarter 2021 Financial Results Conference Call. There will be a presentation followed by question-and-answer session. [Operator Instructions] I would like to introduce to the conference call RedHill’s CEO, Dror Ben-Asher; Micha Ben-Chorin, RedHill’s Chief Financial Officer; Rick Scruggs, RedHill’s Chief Commercial Officer; Gilead Raday, RedHill’s Chief Operating Officer; Guy Goldberg, RedHill’s Chief Business Officer; Adi Frish, Chief Corporate and Business Development Officer; Rob Jackson, RedHill’s Senior Vice President, Sales and Marketing; and Bob Gilkin, RedHill’s Senior Vice President, Market Access and Trade Relations. Before we begin, we will read from RedHill’s Safe Harbor statement. Please go ahead.
Alexandra Okmian: Thank you, Tracy. This conference call may contain any projections or other forward-looking statements regarding future events or the future performance of RedHill, including statements with respect to the business promotion and other efforts relating to RedHill’s commercialization activities, and the initiation, timing, progress, and results of RedHill’s research, manufacturing, preclinical studies, clinical trials, marketing applications and approvals, if any, and the clinical trials of opaganib and RHB-107 for the treatment of COVID-19. These statements are only predictions and RedHill cannot guarantee that they will in fact occur. RedHill does not assume any obligation to update that information. Actual events, performance, timing, results or commercialization activities may differ materially from what RedHill projects today. Additional information concerning factors that could cause actual events, performance, timing, results or commercialization activities to materially differ from those contained in the forward-looking statements can be found in the company’s annual report on Form 20-F filed with the SEC on March 18, 2021, and in its other filings with the Securities and Exchange Commission. I will now turn the call to RedHill’s CEO, Dror Ben-Asher.
Dror Ben-Asher: Thank you, Alexandra. Good day, everyone, and thank you for joining us today. We’ll be presenting detailed highlights, so please remember to press on the link to follow the slides. The WHO Director General stated recently that we are on track for the second year of this pandemic to be far more deadly than the first. RedHill understands it’s calling, particularly because both are advanced clinical stage drug candidates, opaganib and RHB-107 are novel expected to address new variants and our oral pills with patent protection until at least 2041, as we announced yesterday. Our highly motivated team is doing everything humanly possible to get to the finish line. This is evidenced by the fast progress of these two programs. RedHill is now positioned at the very forefront of novel COVID-19 therapeutic development. In fact, to the best of our knowledge, opaganib is currently the most advanced novel dual mode of action both antiviral and anti-inflammatory oral drug candidate of its kind in development for COVID-19. Our global 464 patient Phase 2/3 study in severe COVID-19 has been approved in 10 countries. It is almost 100% enrolled and we eagerly await the upcoming topline results. Our Chief Operating Officer, Gilead will elaborate shortly. Commercially, a very strong end to the quarter has set up 2021 for further growth, reversing a slow start to the year across the industry. Movantik new prescriptions in the first quarter outperformed the same quarter last year prior to its acquisition by RedHill from AstraZeneca. Talicia’s consistent growth in prescription volume, repeat prescribing and new prescribers are encouraging and will likely be the key growth drivers in the coming years. We are more confident than ever about Talicia’s prospects to become the new standard-of-care for H. pylori for years to come, as the only drug both approved in the U.S. for first-line treatment and addressing head on the main public health concern of high and growing age pylori resistant to macrolide antibiotics. The U.S. is now emerging from the shadows of COVID-19, with patients returning to clinics and travel resuming, positively affecting also Aemcolo prospects. Rob, our Head of Sales and Marketing will provide additional details in a moment. To sum up, RedHill is set for numerous near and longer term milestones, and both organic and non-organic growth and a strong momentum. Before turning back to Guy for our presentation, please remember to press on the link in order to see our detailed slides to be followed by a Q&A session. Guy please.
Guy Goldberg: Thank you, Dror. As we conclude the first quarter of the year, RedHill has shown strong consistent performance on the commercial side of the business and rapid clinical progress on R&D side, notably with our COVID programs. In our presentation, we will provide more detail on our R&D, commercial and finance operations, to complete the picture of the progress we’re making and where we hope to be this upcoming year. We believe we are well-positioned for growth in 2021 and in the years to come. I would like to provide a brief overview of RedHill for those new to the story who may be on the call today. RedHill is a fully-integrated specialty pharmaceutical company focused on gastrointestinal infectious diseases with a robust pipeline of drugs and a world class commercial operation run out of our U.S. headquarters in Raleigh, North Carolina. We promote three FDA approved drugs, Movantik, Talicia and Aemcolo, as you see here on the slide and have multiple late-stage programs in developing -- in development, addressing important unmet medical needs. As a result of our diverse activity, we have many paths to grow and build value. This is our pipeline slide, Rob Jackson, our Senior Vice President of Marketing and Sales will be going into detail on the commercial products, and Gilead Raday, our Chief Operating Officer will be doing so for our COVID programs and RHB-204. So we’ll briefly update where we are with our other programs, notably RHB-104 for Crohn’s disease. As a reminder, RHB-104 for Crohn’s builds on the growing evidence from various studies in intracellular mycobacteria play a crucial role in Crohn’s disease. Testing this theory we conducted a Phase 3 study in Crohn’s disease that successfully met our primary and key secondary endpoints, including remission at 26 weeks, response at week 26, early remission at week 16, durability, maintenance and others. Overall, RHB-104 demonstrated meaningful, consistent and statistically significant clinical activity. We continue to advance the program in various ways and hope to have some use later this year. Right now, given the intense effort we’re making as a small company to fight this pandemic, our R&D efforts are focused on running COVID studies in parallel with opaganib -- and in parallel with opaganib and RHB-107. We’re also focused on RHB-204 for NTM diseases. There’s nothing approved first-line and we could be the first. So this slide highlights our progress since our last earnings call. Despite industry-wide challenges, unusual first quarter effects, revenue has held steady and we believe we will see growth throughout the year in all our products and for years to come. As a small company with a new commercial operation, we have stood the test of the pandemic and shown to be a resilient organization. This is because we’ve hired the best people for our commercial team and ensured that we have the most seasoned veterans leading our efforts. Our Talicia launch continues to achieve important milestones that Rob will walk you through. We believe this product has enormous potential, both for patients as -- and as a value driver for RedHill as a company. As with almost all launches, it takes a little time to build awareness and acceptance, both in reimbursement and also with physicians. We have been working very hard from day one on these efforts and believe we will gain significant market share as a result. With Movantik we continue to protect our leadership position in the PAMORA space and we believe we will see growth during the rest of the year and the years to come. There is still a very large and underserved OIC patient population. We have a good cash position of approximately $92 million as of March 31st to support our R&D and commercial efforts. And this combined with our strict financial discipline provides a good foundation to achieve plan potential commercial operational breakeven by the end of the year. On R&D side, a lot of attention has been given to our COVID program and rightly so, there have been very few if any breakthroughs on the treatment front and many failures. As we’re all beginning to accept, even with the most optimistic and aggressive vaccination scenarios, COVID is likely to be an endemic global health problem, which will be around for a long time. There’s an acute need for effective treatment, especially given the growing concerns around mutation. In this regard, we’re very excited about opaganib. We’re almost finished enrolling our global Phase 2/3 study, which means a robust data set will be available shortly. We’re also progressing RHB-107, our second COVID program, which addresses the mild to moderate patient population. And another central program for us is our ongoing study for RHB-204 for NTM disease, an important indication with no approved first-line treatment. RHB-204 could be the first drug approved to treat this important orphan disease and Gilead will update you about that shortly. These slide shows on a 30,000 foot level our vision to become a leading specialty pharmaceutical company. We believe the key to success is to grow both organically and non-organically. In other words, to develop drugs in-house that we believe in and that we identify as meeting an unmet medical need and also to opportunistically bring in commercial stage products from other companies. We’ve been successful so far with this approach is when we acquired Movantik from AstraZeneca, and also when we developed Talicia, all the way through two clinical studies approval and launch. We will continue with that strategy into the future. We continue to be in discussions for both in-licensing and out-licensing opportunities. We are here to build the leading specialty pharmaceutical company of the future. And with that, I will now turn the presentation over to Gilead.
Gilead Raday: Thank you, Guy. I am pleased to present RedHill’s R&D progress highlights. COVID-19 continues to be a major R&D focus for us in 2021. RedHill is at the forefront of the efforts to develop orally available therapeutics for COVID-19 with two promising and rapidly advancing Phase 2/3 stage therapeutic candidates. Opaganib and upamostat are both orally administered novel small molecules with potent antiviral activity. Being orally available provides them an important advantage in terms of ease and simplicity of distribution and administration. Both compounds exert their antiviral activity through targeting over human host cell factor. So they act independently of the mutations to the virus by protein. As such, they are expected to be active against the emerging variants, including against variants which may be resistant to certain direct acting antibodies. Looking at the overall COVID-19 therapeutics field, while vaccine deployment establishes some pockets that seem to be nearing herd immunity, the worldwide infection rates continue to increase and there remains an urgent unmet need for a highly effective, safe and easy-to-use COVID-19 therapy. The clinical and operational challenges of developing therapeutic for COVID-19 have established a steep pyramid with very few remaining promising and advanced oral therapy candidates at the top. With our two promising and differentiated oral therapy candidates, RedHill is uniquely positioned to potentially benefit COVID-19 patients worldwide. Opaganib is our first advanced oral therapy candidate for COVID-19. It targets SK2, a human intracellular enzyme with multiple functions. Opaganib acts dually, both as a broad spectrum antiviral and also as an anti-inflammatory. Importantly, by targeting a human host cell factor, opaganib is expected to uphold its antiviral activity against the continually emerging variants, which raised concern of resistance to direct acting antibodies and possibly also to vaccine. As an orally administered pill, opaganib has clear advantages in terms of its distribution and administration. And due to its unique dual mechanism of action, it could potentially treat a broad range of COVID-19 patients from mild outpatients to severe hospitalized patients. Given the broad potential utilization of opaganib, we have embarked on setting up a robust supply chain for it scaled up manufacturing. We are now at the final stages of enrolling patients into our global study in 464 patients, with last patient expected to be enrolled in a few days. Once that is reached, last patient out and the ensuing topline results are anticipated to follow shortly thereafter. To recap, opaganib has already successfully obtained promising milestones. Opaganib successfully completed a randomized controlled Phase 2 study in the U.S. in 40 patients, demonstrating positive, safety and efficacy signals. The ongoing global Phase 2/3 study has already passed four independent safety monitoring reviews of unblinded data, covering the first 255 subjects and also an unblinded futility analysis from the first 135 patients enrolled. We also have positive compassionate use experience with opaganib from Israel, Switzerland and recently also cleared in Belgium. This resulted in a publication in a peer reviewed journal, reporting that compassionate use with opaganib in severe COVID-19 patients demonstrated a substantial benefits as compared to matched case controls from the same hospital, including improvements in inflammatory and disease markers. Furthermore, opaganib compared favorably with remdesivir in inhibiting the replication of SARS-CoV-2 in human lung bronchial tissue acid showing complete inhibition of viral replication. In addition, extensive preclinical data supports the broad antiviral properties of opaganib and potent anti-inflammatory activity, and clinical safety data has by now been obtained in hundreds of patients, indicating good safety and tolerability of opaganib. As a reminder, opaganib shows encouraging results from this successfully completed Phase 2 study, randomized double-blind placebo-controlled in hospitalized patients with severe COVID-19 patients. These are patients who required supplemental oxygen support at baseline, corresponding to Levels 4 and 5 on the WHO ordinal scale of disease severity. Patients were randomized to receive either opaganib or placebo. Opaganib was given 500 milligrams twice a day, on top of standard-of-care therapy for 14 days. In terms of the standard-of-care used in the study, approximately 80% of subjects received dexamethasone and 50% received remdesivir, the majority of patients receiving both. With respect to efficacy signals, opaganib show the benefit in reducing the need for supplemental oxygen. Specifically, a greater proportion of patients treated with opaganib no longer required supplemental oxygen by day 14. Opaganib also showed improvements in time to discharge from hospital. And importantly, these observed benefits were consistent where the patients were treated with remdesivir or corticosteroids or both as the underlying standard-of-care. In terms of safety, opaganib was overall safe and well tolerated. For an update on the progress of the ongoing global Phase 2/3 COVID-19 study with opaganib. This randomized double-blind placebo-controlled on top of standard-of-care study in hospitalized patients with severe COVID-19 is nearing the completion of enrollment of its 464 subjects. With almost 100% of subjects already enrolled, we expect the last patient to be randomized in the coming days. Last patient out is expected to take place at the end of the follow-up period of six weeks and topline results should be expected soon thereafter. The primary endpoint of the study is the proportion of patients’ breathing room air without oxygen support by day 14. The study will also capture additional standard important outcome measures in the follow-up period of up to six weeks, such as the incidence of incubation and mortality. The study has been approved in multiple countries including Italy, U.K., Poland, Russia, Israel, Mexico, Colombia, Peru, Brazil and was recently also opened in the U.S. Four independent DSMB recommendations to continue this study were already provided following unblinded safety and futility reviews. Furthermore, an evaluation of the blinded -- blended incubation and mortality rates today is encouraging as compared to what might be expected in the treated patient population based on reported rates of mortality from large platform studies, such as recovery and other studies in similar patient population. In terms of regulatory development, FDA has indicated that additional study to support application in the U.S. will be needed. Evaluations and discussions continue with the FDA, EMA and regulators in other countries as to the path to the applications in the various respective territories. It should be noted that the COVID-19 regulatory landscape has evolved over the last year and continues to do so rapidly. Initially in the early stages of the pandemic, FDA and other regulatory agencies approved emergency use based on very limited data due to the absence of approved therapies or vaccinations and coupled with widespread serious disease. Today, with the advent of vaccinations and with several emergency use approved therapies, FDA requirements have become stricter and the hurdles for approval have risen accordingly. Our expectation for discussions with senior expert consultants is that the strength of clinical safety and efficacy data will be key to potential regulatory application. RHB-107 also called upamostat is our second Phase 2/3 COVID-19 program and it is currently targeting COVID-19 in the outpatient setting, the largest category of COVID patients. It is a novel, orally administered, serine protease inhibitor with potent anti-SARS-CoV-2 activity as demonstrated in an in vitro model of human bronchial tissue. Upamostat targets a human cell factor involved in enabling viral entry into the cells. So it too is expected to uphold its activity against the continually emerging variants. Upamostat is also a simple to distribute and administered already available pill, which is particularly well suited for treating the mild to moderate outpatients. We have initiated a Phase 3 study of upamostat in COVID-19 outpatients in the U.S., and are in the process of expanding it globally to territories in which the infection is widespread and access to vaccination is limited. The study is targeting 310 patients to be enrolled in a two part randomized double-blind placebo-controlled Phase 2/3 study. The endpoint of the study includes time to sustain recovery and the incidence of hospitalization and disease progression. Patients will also be tested for their specific viral strain. Our non-COVID-19 pipeline fronts, we have initiated a Phase 3 study for treating first-line, nontuberculous micro bacterial infection with RHB-204. Nontuberculous mycobacterial infection, or NTM in short, is a rare disease with chronic debilitating manifestations and with no FDA-approved first-line therapy. RHB-204 is a promising potential first-line, stand-alone oral therapy. It’s all in one combination capsule is design to ensure that the proper combination of antibiotics is administered with each dose intended to safely and effectively treat NTM and maintain microlight sensitivity. RHB-204 has been granted orphan drug designation, qualified infectious disease product designation and fast track designation. With these designations, it is eligible for priority review of the NDA and for 12 years of market exclusivity. The randomized, placebo-controlled Phase 3 study is planned to enroll 125 subjects at up to 40 sites across the U.S. And as is the case across the industry in non-COVID-related clinical studies, we are experiencing screening slowdown due to the constraints imposed by the pandemic on sites, physicians and patients. We are addressing this and are planning to expand the study to additional territories outside the U.S. and we expect enrollment to pick up over time as the impacts of COVID-19 subside. The key study endpoints of sputum culture conversion and patient reported clinical outcomes will be evaluated at month six with ensuing longer term follow up, including the post-treatment maintenance of conversion. I will now turn it to Rob, our Senior VP of Sales and Marketing to update on our commercial progress.
Rob Jackson: Thank you, Gilead, and good morning to everybody. Over the next few minutes I’ll summarize our sales, marketing and market access achievements during the first quarter of 2021. As a company we’re very enthusiastic about our business prospects for this year, having Talicia, Movantik and Aemcolo in our bag and having many new growth opportunities ahead of us as a company. As Dror mentioned, the RedHill team is resilient and we have worked together to overcome the environmental challenges during first quarter of COVID-19 lockdowns, winter weather in the Central United States, a new deductible season for patients and an overall decline in patient diagnostic visits. Before I get any further, I want to give credit to everybody at RedHill, especially to our sales team, which has consistently supported our effort to transform RedHill business during the pandemic in 2020 and also in the first quarter of 2021. During the first quarter, we grew Talicia prescription volume by 11% over fourth quarter of last year. We also grew Movantik new prescription volume by 4% over the same period prior year. And most impressively, RedHill achieved a number of significant sales milestones for Talicia. In the first quarter and for the month of March, we achieved the following sales milestones for Talicia. First, we achieved our highest quarterly prescription volume during first quarter. We also achieved our highest single month prescription volume in the month of March. We achieved our highest weekly prescription volume and we also achieved our highest level of commercial payer coverage. When you consider the RedHill launch Talicia one week before the COVID-19 shutdown kicked in, we have proven our ability to be resilient and we have done well with this brand. Looking back, you can see that we have achieved steady growth for Talicia, with the exception of January and February. Those two months were very challenging for the reasons that we previously mentioned. In March, we rebounded and achieved our highest monthly prescription volume for Talicia. Throughout first quarter, we’ve been strengthening our sales organization and our payer coverage, and as those changes take effect, we expect to see further acceleration in our growth, especially during the second half of 2021. We are increasingly confident that Talicia will become the new standard-of-care for H. pylori eradication. As we continue to expand our base of Talicia prescribers, we’re also increasing the depth of Talicia prescribing. In March, we had the most prescribers since launch the Talicia, 63% of Talicia prescribers were repeat prescribers and that’s a 7-point increase over where we were in December of 2020. I think this statistic really speaks to the effectiveness of Talicia and the high level of prescriber satisfaction with the Talicia brand. H. pylori infection is the leading risk factor for the development of gastric cancer and the issue of clarithromycin resistance is very real for clinicians, payers and patients. As more payers and prescribers realize this important fact, and they realize how clarithromycin resistance has a negative impact on their ability to eradicate H. pylori infections they will become even more favorable to prescribing Talicia in more averse to using any clarithromycin containing therapies to treat H. pylori infections. Antimicrobial stewardship is an important issue and when the most effective antibiotics are used first-line, they provide the best chance for cure while eliminating the need for second, third and even fourth lines of treatment. The American College of Gastroenterology recognizes this in their guidelines for H. pylori therapy and as we educate prescribers more of them understand the growing challenge with clarithromycin based therapies and the benefits of Talicia. As I previously mentioned, we have continued to improve our commercial coverage for Talicia. In first quarter, our market access team improved commercial coverage by 8 points ending the quarter with 77% commercial coverage. Most patients covered by commercial insurance can access Talicia without restrictions and our goal is to further improve Talicia’s commercial coverage in the months ahead. Switching to Movantik, we exited the first quarter with a strong month in the month of March. Movantik is our strongest and largest brand, and Movantik remains the undisputed market leader with 75% market share. As we ramp up promotion, we expect we can grow this brand despite the ongoing decline in opioid prescriptions. As the market leader, we are very motivated to grow the PAMORA category and there’s ample opportunity to do so. In the United States, we estimate that up to 6 to 12 American -- 6 million to 12 million Americans suffer from opioid-induced constipation. Although, many patients might try an over-the-counter option before Movantik, the vast majority, about 71%, report dissatisfaction with their available treatment options. Movantik also has the best coverage without restrictions in the PAMORA class for both commercial and government payer segments. Today, nine out of 10 commercially insured patients and seven out of 10 Medicare Part D patients can access Movantik. And effective April 1st, Cigna Medicare Part D now covers Movantik. This increased Movantik’s Medicare Part D coverage by 3%. I would also like to provide an update on Aemcolo, our traveler’s diarrhea treatment. At the start of April, RedHill resume promotion of Aemcolo and as the pandemic resides, travel is resuming, especially within North America and particularly travel to Mexico. Travel to Mexico has doubled since its pandemic last April, but it still remains about 50% below normal. International travel outside of Mexico remains even lower. Despite that, we know some intrepid travelers are determined to get away and we are equally determined to help them enjoy their vacations by equipping savvy travelers with Aemcolo. Aemcolo is also very competitively priced. Additionally, our commercial coverage continues to improve and our commercial payer for coverage for Aemcolo is now 82%. That’s an 18-point improvement over where it was in January of 2020. In conclusion, I’d like to leave you a couple of things that we discussed today. First, RedHill achieved numerous commercial milestones for Talicia in the first quarter 2020, excuse me, 2021. We expect that this will become the new standard-of-care. We achieved our highest quarterly prescription volume in the first quarter, our highest monthly volume in the month of March, our highest weekly prescription volume and our highest level of commercial payer coverage. As the market leader in the PAMORA class, we have demonstrated the ability to continue to grow new Movantik prescriptions versus 2020. We are also in the early stages of returning Aemcolo to active promotion in line with the return of international travel, especially travel and going to Mexico. And as our investments in people, resources and capabilities come to fruition, we expect to deliver even stronger performance in the months ahead. Thank you for your time and I am going to turn the call back to our CFO, Micha Ben-Chorin.
Micha Ben-Chorin: Thank you, Rob. I will provide a short financial overview now. RedHill is delivering on a clear growth strategy designed to enable us to achieve planned potential commercial operation breakeven by the end of this year. We have been diligent in maintaining solid balance sheet and spending discipline. We have $92 million in cash as of March 31, 2021 and we have reduced cash burn from operating activities compared with Q4 2020, which stands at $12.3 million during this first quarter of the year. Net revenues were $20.6 million for the first quarter of 2021, a decrease of $0.9 million compared to the fourth quarter of 2020. The decrease was mainly attributable to typical cyclical seasonality trends in Movantik ex-factory sales. We maintained a consistent gross margin of 50%. Research and development expenses increased $1.3 million compared to the fourth quarter of 2020, mainly attributable to the progress of our COVID-19 development programs. Selling, marketing, general and administrative expenses decreased by $3.3 million compared to the fourth quarter of 2020. Operating loss and net loss for the first quarter are lower by approximately $1.5 million compared to the fourth quarter of 2020. The decrease was mainly attributable to decrease in marketing expenses. Net cash used in operating activities was $12.3 million for the first quarter of 2021, a decrease of $0.4 million compared to the fourth quarter of 2020. Ending the quarter with a strong and healthy cash position of $92 million allows us to continue to drive our core business forward. I will now turn the discussion back to Dror.
Dror Ben-Asher: Thank you, Micha. Tracy, we are happy to take questions.
Operator: Thank you. [Operator Instructions] Your first question today comes from the line of Ram Selvaraju from H.C. Wainwright.
Boobalan Pachaiyappan: Hi. This is Boobalan dialing in for Ram Selvaraju and thanks for taking my question. I just wanted to start off our discussion with the Movantik launch that happened six years ago. So, I am curious what lessons were learned from it that can help render success for the next six years? And also what strategies are put in place to drive that option in U.S. as the economies recovering from COVID-19?
Dror Ben-Asher: Thank you. This is Dror. I will refer this to Rick and Rob.
Rick Scruggs: So, hey, Ram, this is Rick. So the question was lessons learned from AstraZeneca’s launch of the product and then lessons we can -- what we’re doing going forward? Is that the question? I am sorry...
Boobalan Pachaiyappan: Yeah. That’s the question.
Rick Scruggs: Okay. So, first, I will just state a couple of things lessons learned. So AstraZeneca did a great job of launching this product. They spent, I guess, upwards of a billion dollars preparing the market and launching the product. It has great brand awareness. We have learned and trying to build upon that. And so with that, I am going to hand to Rob, who is responsible for building upon this great brand that we have purchased from AstraZeneca. Rob?
Rob Jackson: Sure. Thank you, Rick. I think the number one lesson that we learned from them was probably the importance of market development. They invested very heavily in the early years in both their sales force, as well as advertising investments, which established the great brand that we have today. So it’s our job to continue to build on that. And as I mentioned in my presentation, there is still a very large untapped market of individuals who are suffering from opioid-induced constipation. So as a marketing organization, as a sales organization, what we’re trying to do is really encourage those conversations to take place, those critical conversations between the patient and the prescriber about their opioid-induced constipation symptoms and different options that patients have to improve their conditions and reduce their suffering. As I mentioned, a lot of people go to over-the-counter options first, over-the-counter options don’t under -- they don’t effectively address the underlying cost of opioid-induced constipation. You really need a PAMORA class drug to do that and Movantik clearly in our opinion is the best choice to do that. So, as we continue to expand those conversations, continue to raise awareness with patients about what their options are and what these PAMORA drugs are and what Movantik is all about, we think that by growing the market as a market leader we’ll be able to continue to grow the brand.
Boobalan Pachaiyappan: All right. I just wanted to touch base a little bit on the pooled analysis study that was published recently. So, could you comment on the incidence of abdominal pain in the Movantik group versus the placebo group?
Dror Ben-Asher: Rob, do you want to take this?
Rob Jackson: Dror, I am not prepared to take that question. I don’t have the answer to it at my fingertips. I apologize for that.
Dror Ben-Asher: No worries. So we will get back to you on this. Rick, do you want to answer that?
Rick Scruggs: No. I am going to -- I mean I need to get as well also, which study you were referring to, I mean?
Boobalan Pachaiyappan: I was talking with the pooled analysis study that was published recently.
Rick Scruggs: So, we’ll follow up with you on that.
Rob Jackson: Right.
Boobalan Pachaiyappan: Okay. No worries. So moving forward with respect to traveler’s diarrhea market, so how do you think the regulatory agencies and prescribers view the traveler’s diarrhea clinical severity classification tool? Do you see any immediate impact of this tool in Aemcolo’s market penetration?
Dror Ben-Asher: Thank you for that. I’ll refer that to Rick and Rob.
Rob Jackson: Rick, would you like me to take it?
Rick Scruggs: Yeah. Go ahead.
Rob Jackson: I think the tool will certainly be helpful. I think we have a great brand here in Aemcolo that offer some unique benefits to prescribers and what we’re focused on as a company is really trying to get patients to have Aemcolo as a proactive prescription. So anything that we can do to increase the level of conversation around traveler’s diarrhea will be a plus. And as we try to do that and raise awareness with prescribers and get patients prepared for their travel, I think that all ties together very nicely as we try to build this market with the Aemcolo brand.
Boobalan Pachaiyappan: Understood. So, with respect to opaganib for COVID-19, what are your expectations from the ongoing Phase 2/3 trial? Assuming the data is positive, when do you anticipate regulatory filing and potential approval would occur? And also what are some of the preliminary feedback you are hearing from physicians regarding the compassionate use of opaganib?
Dror Ben-Asher: To answer the latter first, feedback for compassionate use is very positive. Some of it has been published so this is a very easy answer. PAMORA has been using it under compassionate use is providing us with very positive feedback, and again, some of it was published. Regarding filings, data is king here. The consultants that we are working with, some of them very senior FDA officers previously, are very consistent and clear about how critical the strength of the data that we are going to generate soon both safety and efficacy is going to be in order for us to be able to file. I can tell you, for example, we haven’t said it publicly yet, so this is the first time that we have met with EMA yesterday, the European EU -- the EU FDA so to speak, a very good meeting. And it’s the same methods, data is everything. This is for conditional application approval in the EU. And this is everywhere else be it in Asia or Latin America, pretty much everywhere. So, to sum up, our plan is to generate as good as possible data, package it appropriately, show it to the regulators everywhere and have that discussion. Whether or not we’ll be filing for emergency authorization conditional approval in different places or even full marketing application later on entirely remains up to the strength of the data, as well as the feedback that we’ll be receiving from the various regulators. In the U.S., for example, the regulatory environment has been developing very fast. If initially nobody knew anything about the disease, nobody knew that the disease existed and then nobody knew what to do with it or how it affects patients, both in the medium term and the longer term. More and more is being learned, a lot of mistakes have been done throughout the last year, almost year-and-a-half now and the regulatory approach, as Gilead explained, has been changing rapidly and it keeps changing. To give you one example, the follow-up period for treatment kept changing and rightly so. If the initial a couple of weeks or a month were sufficient as follow-up, now six weeks is pretty much the standard as follow up for treatment and this is something that the regulators and the medical community have learned over time and this is, of course, affecting all companies that are developing treatments for COVID-19. Another anecdote which I think I think is a very telling one, I can tell you that we have done four DSMBs and those are comprised of the top experts in the field, independent experts who have been reviewing our data. And what we have been told by them is that, they have not been on any DSMB meeting of other companies where the endpoint has not changed. Now, which other indication do we know where endpoint themselves, including the primary endpoint keep changing, because we keep learning about the disease as we go and the same with the regulators. So we don’t have certainty here either way. We certainly assume that we will need to do additional studies in certain territories and some hopefully not. The good news is that we will know soon enough. I know it’s a long answer. I hope I answered to the best of my ability.
Boobalan Pachaiyappan: Yeah. That’s very, very helpful. And one final question from me, so what are your thoughts on Cosmo’s recently completed Phase 2 study of rifamycin in IBS-D patients? So what metrics do you think are essential for you to make a go or no go decision?
Dror Ben-Asher: Cosmo is a dear partner, a very important strategic partner of RedHill. We have certain rights of first refusal, similar rights to that indication and we have been reviewing the data which is a relatively new together with Cosmo. Rick, if you wish to add anything, all yours…
Rick Scruggs: Sure. Yeah. Sure. Thanks, Dror. So everything that you shared was correct. We are in the midst right now of analyzing the data sets with Cosmo. We have a committee together with Dr. Paul Farmer and with Cosmo. And we are analyzing the data to see what the path forward would be and we anticipate having some resolution that over the coming couple of months. So we’re actively engaged right now with that process.
Boobalan Pachaiyappan: Thanks so much for taking my questions and congrats on your progress.
Dror Ben-Asher: Thank you.
Operator: Thank you. Your next question comes from the line of Scott Henry from ROTH Capital.
Scott Henry: Thank you and good morning. A couple questions, I’ll try to keep them pretty tight. First, on gross margins, I noticed that it was flat from Q4 to Q1 2021. Should we expect that to maintain that level or would you expect them to increase throughout 2021? Thank you.
Dror Ben-Asher: Scott, good morning. You were cut there in the middle of your question. So we hope we understand the question correctly, which is what do we expect to happen with gross margins relative to last year. Is that the question?
Scott Henry: Oh! Well, it was set relative to Q1, my apologies. I might be having some phone difficulties. The question is that 50% rate for Q1, should we expect that to increase throughout the year?
Micha Ben-Chorin: Hi, Scott. This is Micha. Thanks for the question. So, yes, we are expecting gross margin to improve as we go forward as the mix is probably going to change as Talicia will grow and since we do not have substantial royalties, the obligations on Talicia as compared to Movantik, we are expecting grow and increase in our gross margin.
Scott Henry: Okay. Great. And staying on the income statement, R&D of $7.5 million was a little higher than recent numbers. Do you expect Q1 to be on the higher end for the year or is this higher level representative of what we should expect throughout the year?
Micha Ben-Chorin: Yeah. Right. So, first quarter is indeed on the high end side, because of the substantial progress of the COVID-19 programs. So I would think that this is compared to the full year. It is more than a quarter. So, this quarter is more on the high end side of the year in terms of R&D cost and expenses.
Scott Henry: Okay. Thank you for that additional color. And then, Dror, on opaganib, you’re just doing the math, six weeks from the beginning of June would take me to mid-July. As far as how long it takes to slice and dice the data. Should we be thinking about readout in the end of July, early August? Do you think it is going to be that quick of a turnaround?
Dror Ben-Asher: Yeah. It’s a great question. What we can we do in parallel? You recall that the study has been approved in 10 countries in several continents. And this entails complexities that are way beyond the understanding of people that are not in this study and this space all the time, 24x7. The complexity, for example, entails the cooperation with several CROs in different countries. It entails the dozens and dozens of sites in different countries. It entails the audits that we routinely conduct. It entails the keeping up with the storing and organizing and checking and double checking and triple checking the data before it is uploaded and so on and so on. So, all these things, as much as we can we do in parallel. So we are hesitant and it’s not because we are trying to avoid the question. It’s simply because there’s so many uncertainties, so many complexities with this kind of study -- global study. We are hesitant to say the likely timing. You are right that two weeks treatment is the time for the primary endpoint and we do have a follow-up period. We’ll do whatever we can in parallel. We’ll announce each months on as it comes immediately and that’s the best I can tell you. You do recall that RedHill did January’s results very fast in prior studies, pretty much immediately following completion of treatment in pharma terms. That’s the best I can tell you. I hope it is helpful.
Scott Henry: Thank you, Dror. That’s very helpful. And I look forward to hearing your updates as we move through the process, but that color is definitely helpful. Final question then just on the NTM program. I think the prior expectation was for about one year to enroll, given COVID-19, certainly understandable that that’s taking a little longer. Should we be thinking about perhaps 18 months to enroll this program? Is that about the extended duration that would be realistic?
Dror Ben-Asher: Yes. We are looking at longer period. It is reasonable. We’ll continue to update as we learn more. What is happening, which Gilead mentioned is not only that enrolment in studies outside COVID has slowed down a lot. Some studies have stopped completely and some studies were put on hold or very enrolling specifically in respiratory indications. And those that require lab tests, the COVID period have been very, very negative -- had very negative impact on enrolment. Unfortunately, our NTM program falls exactly within this criteria. Let me just refer to Gilead to see if would like to add anything.
Gilead Raday: Thank you. You covered it well. So nothing more for me to add.
Scott Henry: Okay. Great. Thank you for taking the questions.
Dror Ben-Asher: Thank you, Scott.
Operator: Thank you. Your next question comes from the line of David Hoang from SMBC.
David Hoang: Hi. Thanks for taking the questions and congrats on the quarter. So I was just curious in terms of any feedback that you’ve got from your sales force on Talicia. In terms of prescriber habits, do you know much about whether you’re seeing first-line usage and mostly first-line or second-line usage? And if there are payer restrictions that are encountered, what types would those be, are you seeing step edits anything of that nature?
Dror Ben-Asher: Thank you, David. I’ll refer this to Rick.
Rick Scruggs: Sorry. I was on mute. Sorry. So, the question was are there or are we seeing the sales from our sales people, the feedback I am getting. We have made step edits and things like that. We’re not really having step edits for submarkets or some of the normal issues out there. We have two experts on the line with us. I am going to let Rob comment on the sales part and I will let Bob comment on the managed market access part. So, Rob?
Rob Jackson: Absolutely. Thank you very much, Rick. I would say right now we’re seeing the majority of our scripts coming from first-line and I think, I would base that on the fact we’ve have a very high rate of repeat prescribing that’s going on out there. There’s a limited number of refractory patients that need to be treated in any office and we’re seeing a lot of repeat prescribing. So that’s a really good sign. We do know that we get some second-line use early on. I think particularly in physicians who are trying to figure out, hey, how well does this drug work, does it really do well with these refractory patients. And I can tell you based off the things I’ve heard out in the field, we’ve had tremendous success with refractory patients. It works very, very well. We had patients been treated three times or four times and they get one round of Talicia and they’re cured. So it really speaks to the efficacy of the product and really creates confidence with prescribers that this is the best drug to use first-line, because you can get it cleaned up the first time. You don’t want patients coming through two, three, four rounds of 14 days of antibiotic therapy. They want to get this done the first time and the best choice right now is Talicia to do that.
Rick Scruggs: Bob, managed market comment…
Bob Gilkin: Yeah. Yeah. Thank you. I appreciate that. So, as you know, we had really good coverage for Talicia. Our commercial coverage is 77% and of that 77%, 65% is unrestricted. So there are no PAs. So we’ve done a really good job there. On the many -- state Medicaid sides fee for service, there are some PAs in place and there are reasonable PAs as you would see with other branded agents requirements. However, the ACG guidelines really do help support those patient types and helping physicians to get those PAs approved. Our team is working really hard to remove all possible restrictions in this category and hoping to share some good news in the months to come. Thank you.
David Hoang: Great. Thanks for that color. That’s really encouraging to hear. So I had a question on the Phase 2/3 COVID study and the rollout of opaganib assuming positive data. How much of a lag time would you expect between getting positive topline data and then being able to commercially rollout. And which countries do you think might be most amenable for an initial launch if that occurs?
Dror Ben-Asher: Thank you, David. Excellent question. About the commercial rollout, so initially in most territories the likely approval once we file is conditional, call it emergency use authorization or conditional in Europe. This means that we are not going to promote the product as such. It’s more about central government contracts, central distribution agreements with managed care, these kind of things, similar to what remdesivir has been through. Once full marketing approval is granted. Yes, in the U.S. we certainly have the ability to promote once it’s allowed. We have a commercial organization with not only 100 sales reps, but also another 30 or so field professionals and we can increase that as needed. We have the marketing expertise and managed care expertise, everything that’s needed is in place. Our R&D and commercial teams have been working together in close coordination for many months now on everything, starting from supply chain, all the way to messaging the story if and when it becomes relevant. So in this respect it’s about -- we will be ready to do these agreements with the central organization, governments and others, in case of conditional approval or emergency use, and we’ll be ready for promotion if and when we get full marketing approval and that’s in the U.S. Outside the U.S., which is very interesting, I am glad you asked. Outside the U.S., we are in close discussions with potential pharma partners who are very interested in opaganib for COVID-19 and we do expect to strike such agreements for opaganib for territorial rights, licenses, be it after the results, if successful or even before. RedHill has now aspirations to promote opaganib in the fields outside the U.S. in the foreseeable future. I want to say one more thing about the study since you asked about how quickly following the results and so on. To put things in perspective, if you look at the landscape of COVID-19 treatment development specifically about novel molecules supposed to repurpose this or that. There’s a reason why nobody and I mean nobody. We are looking at it every day the whole day. Nobody including big pharma has completed a Phase 3 study such as the opaganib study. There have been large studies for example remdesivir and those studies for the most part have been supported by a lot of governments’ efforts, be it financially or inclusion in government study and so on. But nobody has completed a Phase 3 study the way we are completing as we speak with a novel oral molecule, nobody. Everybody either drops the efforts or are way, way behind us. And when you consider that opaganib has a dual mechanism, both antiviral it completely inhibits SARS-CoV-2 according to our human cell model and is a very potent anti-inflammatory. You can understand that it is positioned alone out there. Opaganib is alone out there. It’s a very, very tip of the arrow, the very, very forefront of global research. This is an extremely high bar to reach. Nobody but RedHill has got it there to-date. There’s a reason for it. And that goes directly to your question as to why -- as to when we can expect to launch the product here or there. The data is as strong as we hope and expect. We will do really, really well with product, both as emergency use if and when approved, and as full marketed -- fully marketed product. I hope I answered your question.
David Hoang: Yeah. That was great. Thanks for the feedback. Really appreciate it and I look forward to seeing the data near-term.
Dror Ben-Asher: Thank you.
Operator: Thank you. Your final question comes from the line of Matt Kaplan from Ladenburg Thalmann.
Matt Kaplan: Hi. Good morning, Dror, and thanks for taking the questions. Just want to follow-up on opaganib in the COVID-19 indication. I guess, specifically, what are you looking for in the primary endpoint of, I guess, percentage of patients achieving room air? I guess what -- specifically what would be clinically meaningful and what would be exciting to regulators based on your discussions there?
Dror Ben-Asher: Thank you, Matt. Excellent question because it keeps changing. We’ll try to describe the current situation as we understand it from numerous ongoing discussions with regulators globally. I will refer this to Gilead.
Gilead Raday: Thanks, Dror. So, Matt, in terms of the primary endpoint for reaching room air by day 14, we powered the study based on the learnings from the Phase 2 study. In that study, we showed a 30 points difference in that endpoint between the active arm with opaganib and the control arm. And the assumptions that we used for powering the Phase 2/3 global study where that we would like to see we would like to see a 15% delta. So, we took a conservative approach in terms of the effect that we will be successful on for the primary endpoint, and of course, this is still very meaningful from a clinical perspective. I would say that, as we see in the field, it’s not a single endpoint that carries the day. Usually it is an amalgamation of the clinical outcome across multiple endpoints that are evaluated and that can include other endpoints like incubation and mortality, which are comparable across different products. So we will hope to be able to show some trends and additional key secondary endpoints such as those in the study going ahead. And when we powered initially the study, if you recall, before we selected this primary endpoint, we looked at mortality and we note and we powered for 270 patients to show a delta of 15% in mortality. So we are well-powered or well-sized with the current study to show differences in the mortality to that level and even better than that.
Matt Kaplan: Okay. That’s helpful. And then follow up in terms of your -- in your prepared remarks and your press release, you mentioned that, the FDA specifically said that, the Phase 2/3 would not be sufficient for regulatory applications. What else is the FDA looking for based on your communications with them to be able to file for either EUA or approval and is it the primary endpoint in this study, is that what -- is one of the issues?
Dror Ben-Asher: We don’t really know because it keeps changing. The regulators learn just like everybody else with time. But the short answer is really that everybody wants to see the data, to take the next step. And if the data is strong and the drug is safe and highly efficacious in the relevant endpoints, at least some of them, then we believe every -- anything is possible. So we have stated just like you did rightly so what the latest FDA communication is. But with all that, we are looking forward eagerly for the data. Once the data is available, we will share it with FDA and we’ll see what the next step is. We have seen a lot of back and forth with the agencies around the world by numerous companies with lots of things happening on the move as this pandemic developed and as the public health needs changed. So we will know soon enough. We will have the data. We’ll announce it. We’ll share it with the regulators including FDA and then we’ll see what’s the next stage is.
Matt Kaplan: Thank you. Thanks. And then last question, if I may. In terms of, I guess, congratulations on the kind of the acceleration of Talicia’s performance in March. Can you give us a sense in terms of the or give us a breakout of the revenues for Talicia during the first quarter?
Dror Ben-Asher: Sure. Yeah. Talicia did about $1.7 million in ex-factory sales, whilst scripts, as we mentioned grew by about 11%. So this will probably be translated into ex-factory as things always are.
Matt Kaplan: Thank you, Dror.
Dror Ben-Asher: Thank you.
Operator: That’s your final question. Thank you.
Dror Ben-Asher: Thank you. Thank you, Tracy, and thank you all for joining the call. Don’t hesitate to reach out to us if you have any additional questions. Keep safe. We wish you all a pleasant day.
Operator: That does conclude your call for today. Thank you all for participating and you may now disconnect.